Operator: Good morning to all participants, and welcome to Grupo Comercial Chedraui Third Quarter 2025 Conference Call. Participating in the conference call today will be Mr. Jose Antonio Chedraui, CEO of Grupo Comercial Chedraui. Mr. Carlos Smith, CEO of Chedraui USA; Humberto Tafolla, CFO; and Arturo Velázquez, IRO for the company. We will begin the call with initial comments on Grupo Comercial Chedraui's third quarter financial results by the company's CEO, Mr. Jose Antonio Chedraui and Chedraui USA. CEO, Carlos Smith.
Jose Antonio Chedraui Eguia: Good morning to all and welcome to our presentation of Grupo Comercial Chedraui's Third Quarter 2025 results. I would like to start by acknowledging the recent severe flooding in the Veracruz region, particularly in the cities of Alamo and Posa Rica which temporarily disrupted operations in 3 of our stores. Most importantly, we are pleased to report that all our employees and their families are safe. Through Fundación Chedraui, the company quickly implemented several measures to support impacted employees and local communities. These actions included the distribution of food baskets and the launch of a point-of-sale roundup fundraising campaign to provide additional assistance. The company remains committed to reopening the affected stores as soon as possible to continue serving customers with the essential products they rely on. The company faced a challenging operating environment in the third quarter. In Mexico, consumer trends have continued to soften while operations in the U.S. were impacted by changes in immigration enforcement. Despite these challenges, the dedication of our teams and the continued trust and preference of our customers enabled us to deliver solid results. In Mexico, same-store sales outperformed ANTAD self-service segment by 183 basis points making the 21st consecutive quarter of outperformance. EBITDA margin increased by 6 basis points to 9.9% reflecting consistent operational discipline and the successful execution of initiatives aimed at driving efficiency and productivity. At Chedraui USA, although sales were below our expectations due to changes in immigration enforcement, EBITDA margin improved by 34 basis points to 7.3%, supported by a rigorous expense management and continued cost reductions from our Rancho Cucamonga distribution center, RCDC basically. We are also pleased to announce that Grupo Chedraui opened its 1,000 store during the third quarter, a great milestone for our employees and shareholders. Now to start our presentation, please turn to Slide 4, where I will highlight key achievements of the quarter. Chedraui Mexico's same-store sales grew 2.8% in the third quarter and surpassed ANTAD's 1%, this is the 21st consecutive quarter exceeding ANTAD's results. Chedraui Mexico's total sales increased 5.2% due to higher same-store sales and a 3.7% sales floor expansion. Consolidated EBITDA grew 3.2% compared to third quarter of '24. Consolidated EBITDA margin of 8.5% increased 28 basis points compared to 8.3% in Q3 of '24. Chedraui Mexico's EBITDA margin rose 6 basis points to 9.9%. And Chedraui USA's EBITDA margin grew 34 basis points to 7.3%. Net cash to EBITDA stood at minus 0.03x. We accelerated our organic growth in Mexico with the opening of 32 stores. Consolidated net income grew 13.3% to MXN 1,646 million in the quarter. In the following slides, I will comment in more detail about our third quarter results. Turn to Slide 5, please. During the third quarter, consolidated sales were flat compared to the previous year, primarily reflecting the currency translation effect from a 4% appreciation of the Mexican peso against the U.S. dollar. It is important to note that despite the loss of operating leverage in certain operations, consolidated EBITDA for the quarter increased 3.2% versus the prior comparative quarter to MXN 6,129 million, while the EBITDA margin expanded by 28 basis points to 8.5%. This performance reflects effective inventory and promotional management as well as disciplined expense control across all businesses units. On Slide 6, our strategic M&A investments and organic growth strategy have continued to support the positive long-term trend in consolidated net income. Over the past 4 years, net income has achieved a compounded annual growth rate of 16.4% highlighting the effectiveness of our strategy and disciplined financial management. Our return on equity has recently been affected by RCDC transition costs. However, even after considering these factors, our long-term strategic focus drove a 219 basis point increase in ROE to 13.2% in the third quarter. These demonstrate our commitment to creating long-term value to our shareholders. In the following slides, we will review the main highlights of our businesses in Mexico and the U.S. On Slide 7, our summer campaign, Por ti, cuesta menos delivered strong results during a period characterized by increased promotional activity. Our continued commitment to offering the lowest prices and targeted customer promotions enabled us to achieve a 2.8% increase in same-store sales outperforming ANTAD self-service by 183 basis points in the quarter. Also, our e-commerce sales penetration increased by 70 basis points to 3.8%. This performance was driven by higher consumer satisfaction and stronger repeat purchase rates across our digital channels. In addition, third-party partnerships with platforms such as Uber, Rappi, DiDi, Rappi Turbo and Mercado Libre continue to enhance growth and strengthen our ability to meet customers' diverse shopping preferences. Please turn to Slide 8. In Mexico, sales increased 5.2% compared to the third quarter of 2024, supported by a positive same-store sales and a 3.7% expansion in sales floor area. We're pleased to report that despite a challenging environment, Chedraui Mexico's EBITDA grew 5.9% year-over-year to MXN 3,381 million. While the EBITDA margin expanded by 6 basis points to 9.9% of sales. This solid performance was driven by strategic expense control and enhanced inventory and promotional management, which offset higher labor costs. I will now turn the meeting over to Carlos Smith, CEO of Chedraui USA for his comments on our U.S. operations. Carlos, please go ahead.
Carlos Matas: Thank you, Antonio. Good morning, everyone. In the quarter, Chedraui USA experienced the headwinds of stricter immigration enforcement activity across the United States. These activities have had a negative impact on the number of transactions at our stores, primarily at El Super and Fiesta as well as the average sales ticket for our business customers at Smart & Final. We have to assume that immigration enforcement activities will continue to affect our operations in the coming months, and therefore, we have implemented strict expense controls to offset the expected loss of operating leverage. It is important to note that despite current trends, both El Super and Fiesta's same-store sales have grown considerably over the last 4 years. When comparing the first 9 months of 2021 to the same period of 2025 same-store sales compounded annual growth rate for El Super was 6.9%, 7.3% for Fiesta. Also, EBITDA margins over the same period increased nearly 100 basis points for El Super and 330 basis points for Fiesta. These results demonstrate our commitment to delivering solid long-term results despite the short-term challenges. To review the results of the third quarter, please turn to Slide 9. Chedraui USA same-store sales declined by 1.9% in dollar terms compared to the same quarter of last year. This is primarily explained by a decline in transactions at El Super and Fiesta due to stricter immigration enforcement and a high same-store sales base comparison to the prior year. At Smart & Final, same-store sales decreased 0.5% in dollar terms, primarily due to a lower average ticket from business customers. Overall, Chedraui USA's total sales decreased by 0.9% in dollar terms. Additionally, the appreciation of the Mexican peso against the U.S. dollar by 4% contributed to a sales decline of 4.6% in Mexican pesos. Please turn to Slide 10. Disciplined expense control across the organization allowed Chedraui USA's EBITDA margin in Mexican pesos to remain flat compared to the third quarter of 2024. This control compensated for the loss of operational leverage leading to a 7.3% EBITDA margin, which represents a 34 basis point increase compared to the third quarter of 2024. The combined El Super and Fiesta EBITDA margin of 8.1% in the quarter was 25 basis points lower than in the prior comparative quarter. Smart & Final's EBITDA margin of 6.6% improved from 5.7% in the third quarter due to decreasing RCDC expenses versus the previous year. We are confident that the ongoing strategy of increasing perishable penetration and ongoing efficiencies from RCDC will contribute to Smart & Final's margin recovery in the coming quarters. This concludes our report on the U.S. operations.
Jose Antonio Chedraui Eguia: Thank you, Carlos. We now turn to the consolidated financial results on Slide 11. Consolidated sales of MXN 71,768 million were flat compared to third Q of '24 and were primarily impacted by a 4% appreciation of the Mexican peso. Gross profit rose 4.8% due to favorable inventory and promotion management in Mexico and reduced RCDC costs at Chedraui USA. Gross profit as a percentage of sales stood at 24.6% in the quarter compared to 23.4% in the prior comparative quarter. Consolidated operating expenses, excluding depreciation and amortization increased by 5.6% compared to the third quarter of '24. This is mainly attributed to higher labor costs in Mexico and the U.S. and a higher store count in Mexico. Consolidated operating income of MXN 3,745 million grew 3.9% compared to the third quarter of 2024, with the operating margin increasing by 21 basis points to 5.2% of sales. Consolidated EBITDA grew 3.2% and represented 8.5% of sales, a 28 basis points increase compared to the prior comparative quarter. Financial expenses declined 7.3% due to lower interest expense on Chedraui USA's debt and the appreciation of the Mexican peso against the U.S. dollar in the last 12 months. The prior was partially offset by lower financial income in Mexico driven by lower interest rates. It's remarkable to note that despite the challenging environment, consolidated net income at 2.3% of sales grew 13.3% to MXN 1,646 million in the quarter. This result represents a 27 basis point improvement compared to the prior comparative quarter. Finally, please move to Slide 12. We closed the year with a net cash position of MXN 743 million and our net cash to EBITDA ratio improved to minus 0.03x from a positive 0.02x in the same period last year. CapEx for the first 9 months of 2025 totaled MXN 5,860 million representing 2.7% of sales and coming in below the prior year due to the significant investment in RCDC in 2024. Now if you allow me, please move on to the Q&A section. Thank you.
Operator: [Operator Instructions] Our first question comes from Renata Cabral with Citigroup.
Renata Fonseca Cabral Sturani: The first one is about the softness in the economic situation, both in Mexico and in the U.S. My question for you is how the company is calibrating pricing promotions and cost control to preserve margins without sacrificing traffic, if you can see some actions that the company is taking would really be helpful. And the second question is related, but it's more towards Mexico and regional gaps in terms of performance especially in the Southwest of the country. What are the levers that you are using to narrow the performance gap in terms of store clustering and pricing or format differentiation?
Jose Antonio Chedraui Eguia: Thank you, Renata. Well, I will talk about Mexico. As we already mentioned, and you pointed out clearly, we're experiencing softness in consumption particularly in the south region of Mexico due to higher basis. We don't have Tren Maya, we don't have the airport of Tulum. We don't have the construction of Dos Bocas, and we are experiencing Pemex not paying as well as they used to their vendors and service providers. Due to those reasons we're experiencing this situation. Now on the pricing strategy, we are just as aggressive as we have been in the past years. There's nothing new about it. We maintained the gap against our competition. And as you already know, we have probably the best cost structure that supports this price aggressiveness that in the end, allow us not only to maintain our margins, but even to increase them and we believe that will continue to happen. We don't see anything different. Actually, the way we operate an aggressive market, it's just like more of what we're used to. We'll keep working on being more efficient, managing inventory so that we have as few as possible cost reductions. And being conscious and focusing in reducing all the costs and expenses that will allow us to maintain our margins. It's just the way it is, and we've been doing that for a long time already. Thank you. Smith?
Carlos Matas: Renata, this is Carlos. Very similar story, I guess, in the U.S. Certainly, as we look internally anticipating a tougher market condition in a tougher environment. Internally, we're very, very focused on efficiency within our processes and productivity. Very, very tight expense controls so that ultimately from a customer-facing standpoint, we continue to deliver on what we think is incredibly important, which is value, right? We work very hard at maintaining proper price gaps with our competition. We're very, very focused on our average retail pricing so that it doesn't creak in order to continue to offer great value and ultimately gain market share.
Operator: Our next question comes from Ben Theurer with Barclays Bank.
Benjamin Theurer: Just following up, obviously, on the issues and call it, the softness in Mexico. I wanted to understand how you think about, in general, just the expansion plan for the remainder of the year. Is there anything that you reconsider on the CapEx side? And how should we think about just the idea of investments as we look maybe a little bit of a sneak preview in 2026? And then I have a quick follow-up question.
Jose Antonio Chedraui Eguia: Thank you for your question, Ben. Well, actually, we're not slowing down on our expansion program. Even though we are experiencing these softness in consumption environment, particularly in the South region, we still feel we're going to be very close to our guidance in terms of sales, very close to the low range. So we'll -- we're aiming to hit that guidance on sales. On the other hand, we'll probably be able to expand our EBITDA margin even a little bit higher than we -- what we projected in our guidance. And probably instead of opening 10 big stores we'll end up with probably 2 more, which will end up with 12 of the big stores. And we're right on the Supercito to open 130 stores throughout the year. So we're not changing our strategy. We feel there's a lot of opportunity even though consumption is not as strong as we would like to. There is an informal market where we still feel there is an opportunity for us with all of our formats, and we'll pursue that for sure.
Benjamin Theurer: Okay. Perfect. And then one quick one for Carlos. I mean, now with the distribution center up and running, can you remind us how we should think about just the margin evolution over the coming quarters? Because it felt like it was a little behind schedule and maybe some of the recovery. So I just want to understand if there was something still within the third quarter that impacted? And how should we think about going forward as it relates to the not having double costs anymore what the impact of EBITDA margin that should have?
Carlos Matas: Right. Thanks, Ben. Yes. Well, first of all, our RCDC operation is making improvements every day, and we're very excited about that. Our service levels to the stores is very, very good. Our productivity is improving. We're currently running at about 85% of where we think we're going to end up. And freight as a percent of sales in Q3 has already equaled where we were back in Q3 of 2023. So we're excited that on that -- on the transportation side, we're probably a little bit ahead of schedule. On the warehouse operation was slightly behind schedule. But overall, we're still -- we still have not shed all of our duplicate costs. And that will be tailing off towards the end of next year. Most of them coming off at the end of Q1 and Q2, and we'll be getting back to a very normalized state towards the end of 2026.
Operator: Our next question comes from Alejandro Fuchs with Itaú.
Alejandro Fuchs: I have very -- just 2 quick ones. The first one, in terms of gross margin you saw very relevant expansion. I wanted to see if maybe you can walk us through...
Carlos Matas: Alejandro, this is Carlos. I'm really, really sorry. We cannot hear your question. Can you speak -- can you pick up the handset or do something different?
Alejandro Fuchs: Yes. Is this better?
Carlos Matas: No, no.
Alejandro Fuchs: Maybe I'll reconnect if you want to continue with other questions. Thank you.
Carlos Matas: Okay.
Operator: Shall I go to the next question?
Jose Antonio Chedraui Eguia: Alejandro we'll look for you afterwards. We'll contact you and try to answer your questions. I'm sorry, -- it was not just possible to hear you.
Operator: Okay. And this is the operator. I did try and add some gain to his line, but it sound quality was bad. So I'll go to the next participant, okay? Our next participant is [indiscernible] from Actinver.
Unknown Analyst: This is [indiscernible] from Actinver. You're growing ticket below inflation. Can you provide more color on the factors driving this performance, particularly the role of competition, private label dynamics that's shifting customer behavior?
Jose Antonio Chedraui Eguia: If I understand your question, [ Andre ], you're asking about our dynamics about customer and ticket inflation. Well we're expanding our customer base, our transactions but not being able to grow our ticket, particularly, again, in the Southwest region. And we still maintain our pricing gaps against our competition. We are still beating ANTAD and well, at the moment, I don't know what Walmart results will be for the third quarter, they have not reported. But we still feel we are at the same competitive environment as we were.
Operator: Our next question comes from Bob Ford with Bank of America.
Robert Ford: How are you guys thinking about evolving consumer elasticities as things slow down and maybe private label in particular or key traffic drivers both in Mexico and the U.S. And then, Carlos, I think you foreshadowed this in the past, but I'm just really curious with respect to like the RCDC and subsequent capabilities that we should be mindful of, not just like the elimination of redundancies or getting to those efficiency rates you expect in the warehouse, but just incremental capability.
Jose Antonio Chedraui Eguia: Bob, thank you for your question again. While, yes, private label is very important to support our pricing strategy. But not only that, we're working on private label and on exclusive brands as well to enhance our differentiation against our competition, focusing on quality, freshness in all of our formats, sustaining the pricing strategy that we have already put in place. And I think that is working. Even though we are experiencing a difficult consumption situation where we do a little over 50% of our sales in Mexico. We're still in the end on the overall being able to sell -- to grow sales more than our competition. And if you look at those particular regions, we're gaining market share there. So I think we're just on the right track.
Carlos Matas: Yes. Bob, Carlos. You've heard me speak to this before in terms of how well we think our formats in the U.S. are positioned to excel and win during difficult times because of our value proposition. So certainly, we feel that leading with price is important, leading with perishables is important. It generates frequency and during difficult economic times our formats are well positioned to capture additional market share from folks trading now. So in terms of the RCDC, I think I've shared with all of you, some of our thoughts. But certainly scale is very, very important. Capacity is very, very important for both organic growth and nonorganic growth. In terms of private label, you've heard me say this. We're slowly migrating a lot of the strength of the private label program that we have at Smart & Final into our other banners. It's doing well and we expect it to continue to grow, not only what we currently have, but expanding some of the assortment and the price points that we have -- arsenal. And then the ability to -- especially at the El Super banner, the ability -- where we have a limited assortment, the ability to quickly pivot on dynamic assortment, right? Because we have a lot of that assortment available to the banner right now within the full assortment that we have at the RCDC. So we've got some new tools that we're dealing with given the launch of the RCDC.
Robert Ford: And Carlos, when you talk about dynamic assortment? Are you talking about seasonal? Are you talking about kind of special buys or closeouts or...
Carlos Matas: Yes, seasonal, buying seasonal in scale. Halloween is a huge, huge holiday for Smart & Final, and we piggyback on that for the El Super category. So a lot of seasonality, even within your traditional 8-foot sets at El Super where you can try things quickly in and out and see how they perform. So it's just faster to market.
Operator: Next question comes from Alvaro Garcia with BTG.
Alvaro Garcia: A couple of questions on my end. One following up on Alejandro's question on gross profit. We saw a material expansion in your gross margin. If you could give any color on how much of that is RCDC? And how much of that is in the U.S. versus what you're seeing in Mexico because you had some pretty bullish commentary on Mexico gross margin as well. And my second question, you mentioned that you expect to maintain guidance in Mexico. A bit surprising, it kind of implies pretty significant sequential uptick into the fourth quarter, really into mid-single-digit territory on the same-store sales front? So any thoughts on why you think you can get there if you're seeing better activity into October maybe would be helpful.
Jose Antonio Chedraui Eguia: Well, thank you for your question, Alvaro. Well, we feel very comfortable that we're going to hit our guidance. We are seeing a pickup trend in sales in this particular month. And we believe that even though on the sales side, we'll be in the low range of the guidance, we believe we can hit that. We're also cycling the base, the high base in some of the sales expansion due to where I already mentioned the Tren Maya and Tulum airport and Dos Bocas. Not all of them at the same time, we'll see a little bit easier base than what we experienced in the first 3 quarters. On the margin side, we do not disclose gross margin, but we're being able to gain EBITDA margin, and we feel we're going to be even a little bit higher than what we projected in our original guidance in Mexico. We feel comfortable with that. And we feel that with the next months coming, it will be pretty much what we expect to since sales are going to help a little bit more than what they did in the first 3 quarters of the year.
Carlos Matas: Alvaro, this is Carlos. Yes. And look, consistent to what we've indicated in previous quarters, we continue to shed supply chain costs and that's improving our margins. And in addition to that, as also as we've indicated, we expected to see some improvement in cost of goods that come from the implementation of the RCDC, and we're beginning to see that as well. Our purchasing gross margin has been improving, and it continues to improve, so we're happy about that. As we continue to maintain average retail pricing in check in order to provide great value to our consumers.
Alvaro Garcia: Great. Yes, just one follow-up on -- I think you've mentioned strict expense control a couple of times today on the call. I think that's sort of incremental or new. If you could maybe walk through Carlos where that will come from and how we should think about that in the context of your margin evolution going forward?
Carlos Matas: Well, it comes from everything. I mean at the end of the day, it comes from all corners of your P&L, but we start with labor and making sure that we're providing proper service, handling our labor productivity goals properly throughout the P&L, store maintenance, advertising. Just making sure we look at every single component of our P&L and making sure we're using our funds wisely.
Operator: Our next question comes from Froylan Mendez with JPMorgan.
Fernando Froylan Mendez Solther: Just to understand if you could give a similar comment on how confident you are to hit or not to hit the guidance in the U.S. And on top of the previous questions, could you let us know what is the run rate level of EBITDA margins in the U.S. once we completely lap all the double costs that I -- or what I understood could be only until first quarter, second quarter of next year. Those 2 questions, please.
Carlos Matas: Yes, so we, as you know, we've had some unexpected headwinds here in the last few months in the US particularly impacting the El Super and Fiesta banners through the immigration enforcement issues together with the fact that we had a very, very difficult comparative base. Last year in Q3, El Super grew about 6%, Fiesta grew about 8%. So we knew that going into the quarter, absent all the headwinds related to immigration enforcement our base was high. So we anticipate probably being flat for the rest -- for 2025 in terms of comps, and that's a little bit lower than our guidance. As we've said on previous calls, our goal is to be 50 basis points higher on our EBITDA margins as to where we finished fiscal year 2023. We certainly didn't anticipate these recent headwinds when we announced those objectives. But independent of that, I think we're going to be really close. So we've got some positive signs that we've seen lately. Customer count in Texas is back to positive, which is very, very good. We're seeing some improvement in El Super, which is very, very good. And in the quarter, our Northern California Smart & Final division had positive comps with very solid customer account growth. So we understand clearly where this impact is being felt. But we're cautiously optimistic of where we -- what we're seeing lately. Now we don't know how long this is going to last. We certainly believe it's reasonable to think that things will settle down a bit. But regardless of that, I think that we're going to have a different type of market moving forward. We're going to have less immigration flow. We're going to start seeing EBT back to pre-pandemic levels. So we're preparing ourselves for that kind of market. But we remain super bullish on the Hispanic market in general. As you know, that market is the fastest-growing demographic in the United States. It's 70 million people strong, represents 20% of the U.S. population already. That is expected to continue to grow. It's a young demographic. So we're very bullish on that. But it's going to be a difficult market. But we -- if you've followed us over the years, we've performed very, very well during difficult comps. And as the market adjusts there will be winners and losers, no doubt. And we think that that's an opportunity for us. Not everybody will be able to operate efficiently in a difficult environment. We've been making very, very strong investments both on the CapEx side as well as in operating side that we've been flushing through our P&L and our balance sheet over the last 12 months. But as you guys know, the decisions we make are focused on the long-term well-being of our company and the creation of shareholder value. We're really not focused on meeting objectives on a quarter-to-quarter basis. So we're going to be close to where we said we would be at the end of 2026.
Operator: Our next question comes from Ulises Argote with Santander Bank.
Ulises Argote Bolio: I just had one kind of quick follow-up there on the U.S. So I wanted to see if you could provide any details on the ticket and traffic dynamics there on a pro forma basis. In the release, you put some details around Smart & Final, but I wanted to see if we could get some color there for El Super and Fiesta on ticket versus traffic.
Carlos Matas: Traffic was down equivalent to sales at El Super side, down about 4%. And it was less down at the Fiesta side and was down for the quarter about 2%. But like I said just a few minutes ago, we're seeing a positive rebound on that side. As I mentioned, impact in sales at Smart & Final was really felt in the Southern California region in the same areas where we have proximity to El Super stores that were impacted by immigration enforcement. The North was good, and we're continuing to see good strength in the North. I'm sorry. Actually, customer count at Fiesta was down 1% and it was basically flat overall at Smart & Final with positive growth in the Northern division. So El Super ticket grew about 1%, Fiesta was down about 1%, and Smart & Final was basically flat.
Ulises Argote Bolio: That's very clear. And another question, if I may. You've given the current cash position that you guys have. Maybe you can walk us through a little bit on what are the capital allocation priorities you might have. You still kind of reiterated that store opening pace and CapEx related to that. But I don't know maybe if there's some room to increase dividends or to try something else there capital allocation wise?
Jose Antonio Chedraui Eguia: Ulises, as we already said, we'll keep focusing on our store expansion in Mexico and as well as in the U.S. and Mexico will be probably over our guidance in store expansion this year. And even though we have not given the guidance for 2026, we'll keep focusing on that store expansion. On the other hand, with our cash position as we did these past 2 years, we have increased our dividend program and we'll keep doing it if we don't have any better use of that cash with a potential consolidation or organic growth. And that will be our focus in using basically the capital to grow to expand in stores. Otherwise, just expanding the dividend program as we have done.
Operator: Our next question comes from Hector Maya with Scotiabank.
Héctor Maya López: You mentioned that you're expansion plans haven't changed. But just wanted to understand if there might be any changes in geographic considerations. For example, for Chedraui, Supercito if other states in Mexico are becoming a higher priority considering the economic issues that you are facing right now in the southeastern region of the country. And same question for the U.S., any considerations for other areas in the same states in which you operate, which maybe were not a high priority before? That would be the first part.
Jose Antonio Chedraui Eguia: Well, Hector, thank you for your question. Well, no, we're just following our expansion plan, as I already mentioned. I believe that there is a huge opportunity because there's huge participation of the informal market, and that happens in the South as well as in other parts of Mexico. And we believe there's a huge opportunity, particularly for Supercito. Proximity formats, I think are going to be very efficient to service the particular customer need of being able to buy their supermarket basket in the less time without having to carry huge bags of groceries and we're taking advantage of that. And we're not changing our expansion plan and will even increase it next year. We expect to open more stores for next year.
Carlos Matas: Hector. And no, in terms of the U.S., as you know, we operate in California, we operate in Texas, we're in Arizona, we're in Nevada. We're in New Mexico. And we've got plenty of opportunity within the states that we're currently in to continue to grow our stores. And we're constantly looking at our potential pipeline, but we've got plenty of opportunity there before we launch into different markets where we're not in today.
Héctor Maya López: Very clear. And just the last question to get an update please on your vision for inorganic opportunities in Mexico's northern regions, specifically just to understand, given the consumer -- if given the consumer environment now, if your ongoing appetite might have changed or if potential opportunities should have to wait for now maybe 2026 would not be the year. But after that, just to get a sense, an updated sense on that.
Jose Antonio Chedraui Eguia: Hector, did you mention inorganic that would mean a consolidation or expansion...
Héctor Maya López: Consolidation. Because in the past, you have mentioned or the company has mentioned that there is appetite in Mexico. I just wanted to understand if that has changed.
Jose Antonio Chedraui Eguia: No. We have -- it has not changed. We have that appetite but at the moment, we don't have any target or we are not looking at any target or talking to someone about that possibility at this moment. We are open for that. We have done it successfully in the past. And you can be sure that we'll take advantage of that opportunity if it comes to the table.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call back over to Antonio Chedraui for closing comments.
Jose Antonio Chedraui Eguia: Well, I just want to thank everyone for joining. And I hope to be talking to you at the end of the fourth quarter of the year. Thank you. Happy holidays, since I'm not going to be able to talk to you before holidays and safe travels if you have to as well. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.